Operator: Good afternoon, ladies and gentleman. Welcome to the InterContinental Hotels Group Interim Results 2014 Conference Call. For the duration of the call, you’ll be on listen-only. However, at the end you will have opportunity to ask questions. [Operator instructions] I will now hand you over to our host, David Kellett, to begin. Thank you.
David Kellett: Thank you, Cray, and good morning, everyone. This is David Kellett, Head of Investor Relations, InterContinental Hotels Group. I’m joined this morning by Richard Solomons, Chief Executive; and Paul Edgecliffe-Johnson, Chief Financial Officer. Before I hand over to them for the discussion of our results, I need to remind you that in the following discussion, the company may make certain forward-looking statements as defined under US law. Please check this morning’s press release and the company’s SEC filings for factors that could lead actual results to differ materially from any such forward-looking statements. I would now turn the call over to Richard Solomons.
Richard Solomons: Good morning, everyone. Thanks for joining us. In a moment, Paul will take you through the financial results in detail, but, first, let me cover some highlights. We had a strong first half with RevPAR up 5.8% and underlying fee revenues up 6%. We opened 17,000 new rooms and had our best half of signings in six years, a further demonstration of hotel owners’ preference for IHG brands. Fee-based margins were up 1 percentage point year-on-year, reflecting our continued focus on cost efficiencies and leveraging sales and also some benefits from timing. We continue to reduce the asset intensity of the business and completed the sale of two landmark InterContinental Hotels in the US in New York and San Francisco. The strategic review of remaining owned assets is progressing well and we will update you as and when we have more to say. We’ve continued our consistent track record of returning value to shareholders completing our most recent share buyback in May and paying a special dividend in July. Together with the 9% growth in the interim dividend we’re announcing today, total returns to shareholders amounted $10.4 billion, since our formation as a standalone company in 2003. So I’ll now hand over to Paul, who will talk about the financial progress IHG has achieved in the first half, and I’ll return later to update you on some of the key elements of our strategies.
Paul Edgecliffe-Johnson: Thanks, Richard, and good morning, everyone. We’re pleased to report another strong trading performance in the half-year with solid growth despite the short term noise from hotel sales and liquidated damages received so they are in our reported numbers. I will therefore focus my commentary on the underlying results. On that basis, we increased both our fee revenues and operating profit by 6%. Higher interest and tax charges were offset by the 4% reduction in weighted average shares as we completed our share buyback program and underlying earnings per share increased 7% year-on-year. Our 6% growth in fee revenue was a result of continued increases in RevPAR and net system size in each of our four regions, which grew, in aggregate by 5.8% and 2.2% respectively. To give you some more color as to where and how we drove this growth, I will now talk through the performance of each of our regions in more details. Starting with the Americas, where demand is particularly strong in the first half. The $22 million of fee revenue growth we delivered was almost all RevPAR driven. Occupancy of 68% was 220 basis points higher year-on-year and 2 percentage points above the 2007 prior peak. Effective yield management of the strong demand allowed us to increase average rates in the U.S. by 2.7%. This took them to a record level on a nominal basis, but still 4% below the prior peak after adjusting for inflation. In aggregate, this generated Americas RevPAR growth for the half of 6.7%. From a competitive standpoint, Holiday Inn outperformed its industry segment by just over one percentage point on a total RevPAR basis. InterContinental and Crowne Plaza also performed well, but were held back a bit by their higher distribution waiting towards major East Coast cities like Philadelphia and Washington DC which saw a lower overall demand growth, and in New York, by the upcoming closure of InterContinental Barclays and high levels of supply growth in the Time Square market. Signings of 19,000 rooms are up significantly year-on-year, reflecting the strength of our preferred brands and supported by the continued improvement in the hotel debt financing environment. Moving on now to Europe, which drove $6 million of our fee revenue growth. Our key markets continue to perform well with strong growth in the U.K. where RevPAR is up nearly 9% and solid trading in Germany. In France, however, RevPAR decreased 3.5%, although 2.5 percentage points of this was driven by double-digit RevPAR declines at InterContinental Paris Le Grand where the Salon Opera ballroom refurbishment was completed in the first half. The region’s underlying profit was held back by this refurbishment reducing by 3% in the first half despite the 8% growth in fee revenue. Moving now to our Asia, Middle East and Africa regions where fee revenues increased by $1 million. Comparable RevPAR grew 5.4% excluding Thailand and Egypt, which continued to be impacted by political unrest. Total RevPAR grew 1.7%, reflecting the continued increase in mix of rooms from lower RevPAR developing markets. The core business in Asia, Middle East and Africa is performing well. A combination of sale one-off items trading disruption and investment for growth is holding back the region’s profit. Moving on now to Greater China where we drove a $3 million increase in fee revenue through new openings and significant RevPAR out-performance, despite the ongoing challenges from the austerity measures that are affecting the whole industry. This is testament to our strong brand and the market-leading position that we have built up in this region over the past 30 years. Although, comparable RevPAR increased 4.3%, total RevPAR declined 1.4%, as we continue to drive new openings and start developing tier two and tier three cities. Underlying revenue and profit was flat, despite good growth in our fee business impacted by $3 million of lower revenue and profit from our owned hotel InterContinental, Hong Kong. This is due to the short-term disruption from the redevelopment of the land adjacent to the hotel which long-term will greatly benefit the area. Our broad portfolio of brands put us at a competitive advantage and continuing to grow our scale in China. This was demonstrated by 13% net system growth and very strong signings once again, with 7,000 rooms added to the pipeline. Overall, this takes our total number of hotels opened and in the pipeline in China to over 400. I’ll return now to the Group as a whole. Sustainable fee margin progression over the medium term remains a key priority for us, and we have again delivered this with 1 percentage points year-on-year increase in the period. However, for the full year, margin growth is likely to be less stronger than in the first half, reflecting the timing of costs and continued investment for longer-term growth. Moving now on to our capital allocation strategy. We’ve been very clear, I think, that we are committed to an efficient balance sheet and an investment-grade credit rating, which equates to net debt to EBITDA of 2 to 2.5 times. Following the payment of the special dividend in July, we’re now at the top end of our stated range – a level we are comfortable with in the current favorable economic condition. Our approach to capital investment remains unchanged. We will continue to invest to position our business for optimal long-term success. However, I want to provide further clarity today on how I look at the way we invest and why I have decided to increase our disclosure in this area. You can see some slides on this in results presentation posted on our website today. Our medium-term growth capital expenditure guidance of up to $350 million a year remains unchanged, but some of this expenditure is recoverable over time resulting in a lower net amount. I think of our capital expenditure falling into three distinct categories. Firstly, expenditure on maintenance CapEx and key money to support the business; secondly, on strategic recyclable capital investments to drive the growth of our brands and priority markets expansion; and, thirdly, system-funded capital investments, primarily to strengthen our technology platforms to ensure we remain competitive in the evolving digital world. Recyclable and system-funded capital investments account for a significant portion of our gross capital expenditure. Whilst there will be ups and downs in these investments, over time, they are expected to self-fund effectively and have a broadly neutral cash impact on IHG’s net debt position, leaving us with a normalized net capital expenditure of somewhere between $100 million and $150 million a year on maintenance CapEx and key money. To give some more context, I will now talk through each of these three CapEx categories in more detail. Looking first at maintenance CapEx and key money, this is the investment we need to support the business day-to-day. Maintenance CapEx is the amount needed on basic hotel maintenance and investments in our infrastructure such as our regional offices and corporate IT. Key money or contract acquisition costs is an important lever that we already use selectively to access strategic growth, particularly into the highest-quality and most sought after opportunities. As the development environment in the U.S. picks up with the increased availability of debt capital, more of these opportunities are becoming available. So you should expect to see our investment to increase in the medium term to around $25 million to $75 million per annum, partly offset by a reduction in hotel maintenance, as we continue to sell owned assets. Moving on to recyclables investments. This is the investment we make when required to support our brand development and for priority markets growth. As of today, we have around 40 investments comprising approximately $450 million on the balance sheet excluding the remaining big owned InterContinental Hotels. This capital is intended to support brand development and although the amount invested will fluctuate year-by-year, over time the relative capital intensity of the business will reduce. Over the last three years, our gross CapEx on investment in this area has been around $65 million per annum, but after receipts and disposals the net amount has been flat. Looking now at system funded capital investments. Our system funded is a key scale differentiator and creates a significant barrier to entry for new competitors. The accounting treatment is explained in the Annual Report but for those of you that perhaps aren’t as familiar with it I’ll start with a quick recap of how it works. IHG collects cash from hotels to support system fund activities in 2013 this amounted to $1.3 billion. Unlike royalty fees these are not recognized as IHG revenue but instead, are held off P&L in the system funds. These funds paper marketing and reservation channels costs and for the costs of operating IHG Rewards Club all of which drive direct benefits to the hotels. The system funds does not have its own balance sheet or cash flow per se so any capital expenditure and assets related to it are included in the Group financial statements. Although IHG finances capital investment on behalf of the system fund, depreciation relating to this is charged to the fund and not to the Group’s P&L. As a result, this depreciation charge is a cash surplus and so becomes a cash inflow for IHG over the useful life of the assets. To-date, gross system funded capital investments have been around $30 million per year, paying for the development of tools and systems that hotels used to drive performance. This is expected to remain broadly stable in the medium-term with net investment over time being flat after taking the system funds and cash surplus into account. However, increasingly there are opportunities to invest in technology to drive innovative solutions and enhance the experience right across our guest’s journey with us. Earlier this year, we announced a strategic relationship with Amadeus to explore these opportunities. Whilst this work is still in its initial stages, it could result in an increase in this type of capital expenditure in the future. That would take our gross investment above current levels, but overtime the dynamic of system funded capital investment would mean that the majority of this spend would be recovered. I’ll now hand over to Richard to provide you with some more details of how we’re driving our strategy.
Richard Solomons: Thanks, Paul. So, I’ll start by recapping on some of the major tailwinds that we believe will continue to drive demand for hotel rooms over the next few decades. Growing GDP, globalization of trade and aging populations will result in a steady increase in both business and leisure travel, key drivers of hotel demand especially for mid-market brands. IHG is better placed than most to capitalize on this trend given our extensive geographic footprint and broad portfolio of brands. That said today’s consumers are evolving rapidly. People are connected 24/7 through multiple devices and it’s important to point out this is not just the Millennial’s, but many in other age groups too. Arising from this there are three trends, which we see having the most impact on the hospitality industry. Firstly, a shift in connectivity to a multi-channel environment, certain PCs and laptops to smartphones and tablets and maybe one day to wearable devices like Google glasses. Secondly, social media has led to a huge number of travelers of all types posting online, before, during and after their stays in hotels, and personalization has become increasingly important. This was a key insight from our 2014 trends report explaining the role that technology has started to play in delivering the personalized brand experience that consumers are increasingly demanding. At IHG we focus our work in the digital space on the link between today’s consumers and their needs across the guest journey. This starts with when they’re researching their location from spending time looking at specific features of our hotel to when they make reservation stay with us and invite a hotel review or share their post date experiences. We know that engaging with guests in this way will result in increased royalty and increased share of wallet, and an increase in their intent to stay with us again. Collectively this will help drive the rate premium for our brands. All this requires hotel businesses now, more than ever before to have a clear understanding of the core needs and occasions of customers who these customers are and then how to effectively market to them. Only the largest players who understand these needs and trends and are able to deliver consistent locally relevant and differentiated guest experiences will win. So, I’ll talk a little bit more about the three key elements for IHG and delivering a winning experience for our target guests, for preferred brands lifetime relationships and strong direct channels. So, building a portfolio of preferred brands that resonate with our guests and by extension with our owners is critical to our success after all our business grows when guests want to stay more and pay more for our hotels when owners see more value in an IHG brand than our competitors. Secondly, lifetime relationships. Our strong loyalty program is tailored to guest needs and drives business across our portfolio. Our objective is to make IHG Rewards Club not just the largest, which it already is, but also the most sought after loyalty relationship program through rewards, recognition and personalization. Our strong direct channels delivered the highest quality revenues to IHG hotels at the lowest possible cost. We aim to maximize the conversion of both demand and pricing that we deliver through our channels by having industry-leading revenue management systems and on property tools. So, let me try and contextualize our business in this evolving competitive environment. We’ve built unparalleled global scale behind these three pillars, and taking preferred brands first, our brands include clear industry leaders, InterContinental Hotels & Resorts, which is the world’s largest luxury hotel brand, and the Holiday Inn brand family, which is not just more than double the size of its closest competitor, but the only truly global mid-market hotel brand. Since 2010 the Holiday Inn brand family has grown it’s premium to the upper mid-scale segment to around 108%. Growing RevPAR premium isn’t always easy, especially for most established brands in the market, all of our brands have shown growth in RevPAR premiums over these past few years. The views of our guests are very important to us. We launched IHG reviews in 2012 and now we have over 5000 guest reviews live, globally. In fact, we now collect more new reviews on IHG’s website than any other review site. Our average hotel rating is now 4.3 out of five stars, up 0.1 in the last year, and with good momentum across our largest brand of InterContinental Crowne Plaza and the Holiday Inn brand family. And to all of our brands have strong existing and pipeline positions with top three combined positions worldwide based on Smith travel data. But momentum is not about achieving growth for growth’s sake it’s about an ongoing commitment to the quality of the hotels in our system and that’s why we’ll continue to remove hotels [indiscernible] promise. To highlight the work we’re doing with our brands. I thought it would be appropriate to highlight some of our key openings in the first half. We opened 82 hotels with the Holiday Inn brand family in the half including 40 Holiday Inn express hotels in the United States. Holiday Inn continues its success and is IHG’s engine for growth as it has been for many years and we’ll continue to be for many more. Crowne Plaza continues to grow strongly too with 13 openings in the half of which nine were in China and four in the U.S. and we opened the first two hotels under our EVEN hotels brand in Norwalk, Connecticut and Rockville, Maryland. This brand is specifically targeted at Wellness-Minded guests to seek balance in their daily schedules. Guest feedback so far has been really tremendous. Great scores on IHG ratings and top local market rankings on a well-known third-party review site and this is all within a month of opening. It’s early days for EVEN hotels and it will take time to grow, of course, but we’re really encouraged by the response so far. I personally visited Norwalk in June just before it opened and the enthusiasm of the team and potential customers to the brand was tangible. It’s different, clearly targeted and off to a great start. Moving on now to lifetime relationships, the second element for us and delivering a winning experience for our target guests. Our focus on guest needs and insights combined with the scale of our loyalty program is enabling us to develop the lifetime relationships with our guests that will really matter in the personalized future. We continue to grow the scale of IHG Rewards Club having re-launched it last year to communicate clearly to consumers that all of our branded part of IHG and we’re seeing a 10 percentage point improvement in awareness of IHG as a brand family for multi-brand state as a result. Moving on to the third pillar our strong direct channels. Technology and direct booking channels were at core of our strategy for delivering value for our guests and owners. Our digital business is significant scale and is growing fast. Our combined web and mobile business generated an excessive $4 billion over the last 12 months including $740 million gross bookings on mobile devices, which is up around 50% in the first half. This business is the scale of the top ten U.S. ecommerce retailer and each year IHG, we look after some 34 million unique guests staying more than 160 million nights. Our websites are now across 14 languages and are accessed by over 130 million potential customers annually. They now account for over 20% of our gross room revenue delivery up around one percentage point each year since 2005. It’s difficult to measure success in such a fast-moving area. So we’re pleased that our hard work has been recognized externally. For example the IHG mobile app is the highest rated hotel and travel app on iTunes. So summing up this is an industry that is compelling long-term demand drivers in which IHG is well-positioned to continue to outperform. We have a clearly defined strategy to deliver high-quality growth into the future. At the heart of this, we’re up for brands, these are some of the biggest and best in the world and they are demonstrating strong momentum. We’ll continue to invest intelligently behind our brands and technology but as Paul’s outlined this will be done with recyclable forms of capital wherever possible. It’s vital that we innovate as we’ve done in the past to meet changing consumer behaviors and sustain our industry-leading position. We’ve once again demonstrated our commitment to shareholder returns with around $1 billion return so far this year. We remain focused on continuing this track record into the future. Looking forward, leading indicators remain positive, booking pace is up across the group with increases in both rate and rooms on the books for the rest of the year. The favorable supply and demand dynamic in the U.S. continues to support good growth in our largest region, which combined with our winning strategy gives us confidence in the outlook despite the political and economic uncertainty in several of our key markets. Thank you. So, with that Paul and I’ll be happy to take your questions. Operator, questions please?
Operator: Thank you. [Operator Instructions] And our first question is from the line of Steven Kent from Goldman Sachs. Please go ahead.
Steven Kent – Goldman Sachs: Three questions and some of it you’ve partially addressed, so I admit that. But, can you just review, again, for the U.S’ the RevPAR growth of roughly 6.6 versus industry-wide data more in the eight plus range? So that’s one question, question, just give me some color on that? Second, in some of your – just in the number of rooms under construction still remains very high are you finding that you need to add or provide any financing of the franchisees able to get financing maybe most importantly? And then the third question is just on China, broadly. I just found it interesting when I read your paragraph about China, that some of the revenue drivers, some of the current RevPAR increases in revenue and food and beverage were a little bit soft due to austerity yet you’re still able to get some building and you have plenty of rooms under construction. So I’m trying to balance austerity today on current trends versus the ability to get construction going and getting hotels being built. So, those are my three questions feel free to push back on any of them.
Richard Solomons: Good questions, Steve. Let me take the last one on China and then Paul will cut the other two. So look on China, I think we’ve talked on occasions about our leadership position in China and I think you’re seeing the results of that coming through. So we’ve been there longer than anybody and we’re significantly larger in terms of global players. So, while where there has been some austerity, some of it’s been a bit more extreme at the really top-end of luxury and InterContinental doesn’t play in that space and because of our scale, particularly our domestic scale where we’re getting on 75, 80% of our businesses is domestic. We’ve been able to substitute business for some government businesses which hasn’t disappeared completely, but it’s just been less then is, maybe there is an ongoing extravagance in it. So whether that’s substituting it with weddings or more sort of traditional businesses and government business and so on. So we managed to do that and of course we’ve added a lot of hotels. As we said we signed, we continue to sign more hotels almost year-on-year China than we have in the past and we’ve opened more. And the reality is that we have remained very positive about the long-term in China as to a lot of our owners and I think in a market like that working with the right owners who are well financed, well-funded and very professional puts one in a much stronger position. And without going into any more detail, the infrastructure investment, the GDP growth, the urbanization, all of them are very important drivers for hotels. I think as we perform well and have gained significant share through the sound austerity, we’re really well-positioned to continue to grow ahead of the markets. So I remain very positive about that business. Paul, do you want to pick?
Paul Edgecliffe-Johnson: Sure. Thanks, Steve. Around the – our competitive performance in the U.S. in the first half, we talked a little bit about Crowne Plaza and how it’s distribution to some of the cities that obtain fairly lower levels of demand impacted that. So when you’re looking at a small period and you’re looking year-on-year when the previous year was a little bit impacted by some of the sequestration events and the impact on some group and government business, you won’t necessarily get an exact read quarter-on-quarter. Holiday Inn in the first half outperformed this segment and Crowne Plaza in the first quarter did too. I’m not sure that we’ll do that every quarter, particularly when we’re running at big premiums to those segments and particularly when you got occupancy levels at such a high levels our Holiday Inns and Holiday Inn Expresses are running in very, very high occupancies now and at a premiums to that segment. So I’m not sure they can take on more business to quite the level that some of the hotels frankly haven’t been doing as well it can. Looking at rooms under construction, your question around that, is financing available? Financing is available for good credit who are trying to build in the right locations when lenders want to lend and when they’re coming up with sensible loan-to-cost ratios on their projections. And it’s not available in the same quantum as it might have been back in 2007, but I’m not sure we’re going to come – see that coming back anytime soon. For trading hotels then debt is available at very competitive rates. So a little bit of a difference between new builds and conversion there, but for us what’s most important is that there’s more finance available in the upper mid-scale segments than in some of the other segments, because the lenders like the returns you make there. So, that’s playing out well for us.
Steven Kent – Goldman Sachs: Okay, thank you.
Operator: Thank you. And our next question is from the line of Patrick Scholes from SunTrust. Please go ahead.
Patrick Scholes – SunTrust: Good morning. Several questions for you, why don’t we start with this first one here, can I get a little bit more color on the scope and details of the Barclay closing is that 18 months. Is that going to be the entire hotel closed for that time? And additionally, what do you, as a company, plan to spend out-of-pocket for the renovation?
Richard Solomons: To answer your questions, Patrick you got more than one or is that it?
Patrick Scholes – SunTrust: That was the first one why don’t we go with that and then I’ll jump on.
Paul Edgecliffe-Johnson: Okay. So, Patrick, let me jump in on that one. I think we’ve talked before about the scale of the refurbishment of that we’re going to be spending sort of $175 million – $175 million will be spent on the refurbishment. And we have a 20% stake in that, so we’ll be making a proportionate investment. The hotel will close in its entirety, whether it then reopens in phases we’ll have to see how that goes, we’ll make a call on that as we work through it. But yeah, it will close. It will get renovated and it will be a fabulous product when it reopens. You know the location, you know the hotel well it will really be better than anything else that’s available in Midtown, so we’re looking forward to the day.
Patrick Scholes – SunTrust: How is – what we talk about in lodging, our RevPAR premium how is that hotel prior to – how is the RevPAR premium and tracking on the hotel and what would your expectations be after it reopens?
Paul Edgecliffe-Johnson: Patrick, that’s going to be kind of a different product. We’re bringing in more social ballroom space and of the rooms are all been significantly upgraded. So it’s going to be a different sort of experience. I’m not sure if that comparable looking at it pre and post.
Patrick Scholes – SunTrust: Okay. Secondly, you’ve recently completed your buyback authorization what is your general sense for going forward dividends versus repurchases?
Paul Edgecliffe-Johnson: We’ve done a mix across the last 10 years on capital return through VISA [ph] schemes, through special dividends and share buybacks. I think we’ll continue to evaluate each time the size and what’s most appropriate in all the circumstances. So I think let’s wait and see what happens in the future.
Patrick Scholes – SunTrust: Okay. And then lastly here, I’m just curious obviously gauge your appetite or perhaps openness if you were to receive an attractive buyout offer from a bidder, what are your thoughts on that?
Richard Solomons: Patrick, it’s Richard again, look, we’ve got a very clear strategy. We’re growing the business well. We’ve got great momentum but at the end of the day we’re a public company. So we’re looking to maximize value for shareholders which I think we’ve done a decent job of and we will continue to focus on that in the future.
Patrick Scholes – SunTrust: Okay, thank you. That’s all.
Operator: Thank you. And we have question from the line of David Loeb from Baird. Please go ahead.
David Loeb – Baird: Good morning. I have two so let me just start with one but I should say good afternoon for you. The termination in the first half was that mostly the InterContinental Westminster? I know you addressed this on the call this morning, but wasn’t really clear on answer?
Richard Solomons: Termination? Well, we obviously had quite a few terminations, but certainly, no that’s not that larger hotel. But it’s obviously one in London which we had more than replacing with the new InterContinental which will open next year, near O2 Arena to the city.
David Loeb – Baird: Right. So were there any other big lumps beside to that one?
Richard Solomons: No. Just the usual sort of cleanup.
David Loeb – Baird: Okay. And I know you spoke extensively this morning about the Paris and Hong Kong asset, so I don’t really want to beat that dead horse. But I wonder if you could just give us some metrics on value in those markets like market cap rates, things like that or hotels like those in Paris and Hong Kong?
Richard Solomons: A bit difficult to do that, honest David, because there are such individual assets you can’t just apply multiples from other hotels. These are very unusual pieces of real estate that attract very specific purchases. I think if you look at our track record of sales of these – assets we’ve done a good job for shareholders and that’s where the strategy of your nets out but it does involve them being sold and we will do our best to get the maximum price till we can.
David Loeb – Baird: Okay. Totally fair. And Richard maybe just one more that you’re welcome to not answer but can I just ask straight out, did you receive an offer or an overture from a U.S. company about selling your company to them?
Richard Solomons: There were some rumors and speculation in London from a journalist and we never comment on speculation, David.
David Loeb – Baird: Fair enough. Thank you.
Richard Solomons: Thank you.
Operator: Thank you. And we have no further coming through. So, I will hand you back to your host.
Richard Solomons: Excellent. Thank you. Thank you everybody for calling in and obviously, if you’ve got individual questions aside, you can contact the team here. Thanks very much. Look forward to speaking soon. Bye.
Operator: Thank you for joining today’s call. You may now replace your handsets.